Operator: Good day and welcome to the DTE Energy Third Quarter 2015 Earnings Release Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Anastasia Minor. Please go ahead.
Anastasia Minor: Thank you, Kyle, and good morning everyone. Welcome to our third quarter 2015 earnings call. Before we get started, I'd like to remind you to read the Safe Harbor statement on Page 2, including the reference to forward-looking statements. Our presentation also includes reference to operating earnings, which is the non-GAAP financial measure. Please refer to the reconciliation of GAAP net income to operating earnings provided in the appendix of today's presentation. We also are now including additional data in the appendix which we have historically provided in a supplemental document. With us this morning is Peter Oleksiak, our Senior Vice President and CFO; Jeff Jewell, our Vice President and Controller; and Mark Rolling, our Vice President and Treasurer. We also have members of our management team with us to call on during the Q&A session. I'd like to turn it over to Peter to start our call this morning.
Peter Oleksiak: Thanks, Anastasia, and good morning everyone and thank you for joining us today. Those of you who know me know that I always like to start off with a quick update on my Detroit Tigers. The Tigers looked towards the future at the July trade deadline this year, and [indiscernible] best pitcher, outfielder and closer. With that they slipped firmly into last place by the end of the season. I guess all I can say is, there's always next year and our focus now is on the Red Wings making another playoff run, and I will not be mentioning the Lions or the Pistons on this call. DTE is continuing to have a successful year in 2015. As you know, we raised our operating earnings guidance a few weeks ago at our Analyst Day. I feel very confident that we will be able to comfortably achieve our guidance. We had a very successful third quarter and we expect a solid quarter to finish the year. We also provided a 2016 early outlook during our Analyst Day and I'm confident we can reach our 2016 EPS targets as well. Jeff and Mark will be going through third quarter results in more detail, but before we move on to that, I'd like to do a quick overview of our business strategy as well as some highlights of what's happening at DTE. Turning to Slide 5, Slide 5 provides an overview of the business strategy and investment thesis. Our growth plans for next 10 years at both utilities are highly visible. Electric utility growth is driven by the renewal of our generation fleet and replacing and upgrading the electric distribution system. Our gas utility growth is driven by infrastructure investments, the mainline replacement, pipe replacement and a system expansion to accommodate the increased volumes for the Nexus pipeline into the rest of pipeline. Complementing our utility growth are meaningful growth opportunities in our non-utility businesses which provide diversity in earnings and geography. The structure of regulatory environment, engaged employees, continuous improvement and top-level customer satisfaction continue to be priorities that drive DTE success. The constructive regulatory environment is important as our two utilities are investing significant capital in the state of Michigan, and we know fostering this environment is a two-way street. I'll be updating you on some of the regulatory proceedings our utilities are currently working through. Our highly engaged workforce continues to be a key to our success, and we have described our success throughout the year with the recognition we have received from the Gallup organization over the last three years. Our focus on continuous improvement is distinctive in the industry as the utilities continue to be leaders in maintaining costs. The combination of these two, employee engagement and continuous improvement, enables us to deliver both a sustainable COGS savings track record and to consistently earn authorized returns at both of our utilities. We're also very focused on customer satisfaction, demonstrated by our gas utility currently rating highest by J.D. Power among our peers for business customer satisfaction. Both DTE Electric and DTE Gas are ranked second in satisfaction of residential customers. Rounding out our business strategy is our dividend growth and solid credit rating. Our dividend continues to grow as we grow earnings and our goal is to maintain a strong BBB credit rating. This strategy provides for consistent 5% to 6% annual EPS growth. Slide 6 provides some highlights of progress in 2015. As I mentioned earlier at our Analyst Day, we raised our 2015 operating EPS guidance and provided 2016 operating EPS early outlook. I'll provide a more detailed overview of guidance in a few minutes. Today we are revising our cash flow and capital guidance for 2015, and Mark will provide more details on this in a few minutes. Regarding Michigan's energy policy, there is positive momentum for constructive legislation by the end of the year. The governor and other energy leaders have called this a major priority. There is [indiscernible] legislation that has been developed in both the House and the Senate and the more extensive hearings have now been concluded. There have been a dozen hearings in the House on the proposed legislation and eight in the Senate, so this legislation is moving along nicely. Also want to give a quick update on the various rate proceedings for our two utilities. Our electric utility self implemented rates on July 1 for our ongoing generate rate proceeding. We expect to receive a final order by the end of the year. We also implemented the new cost of service rates which resulted in rate reductions for most of our business customers at the same time of self implementation. For DTE Gas, we expect to receive an order this year for an expanded infrastructure recovery mechanism that if approved will allow us to double the annual miles of our mainline replacement program. For next gas general rate case, we are looking to file in late 2015 or early 2016. We're finalizing our plans. We feel this timeframe is optimal time to file. As you know, we haven't filed a rate case at our gas utility in nearly four years. We continue to make significant progress in our non-utility businesses. Let me hit on a couple of developments in our Gas Storage and Pipelines business. Millennium is currently working on 200 Mcf/day expansion, which is expected to go on service in the fourth quarter of 2017. In addition, Millennium is constructing an 8-mile valley lateral to supply 130 Mcf to a new natural gas plant in Pennsylvania. This is expected to go in service in April of 2017. We have increased our ownership in the Nexus pipeline project from 33% to 50%, which increases our planned investment to approximately $1 billion. We have executed a number of key milestones, including the contracting for the major pipe materials earlier this month. Our next key milestone on the Nexus project is the FERC filing which will happen later this year. We have commitments. We need to move forward with the construction of the pipe. We have recently signed a number of Tampa interconnect agreements that could provide potential aggregate load across northern Ohio for up to 1.4 Bcf a day. This demonstrates strong market support for the project and also strengthens the longer term earnings potential for the play. And we continue to see increasing production forecast for the Appalachian region. So you can see we have a lot of positive things going on in both our utilities and non-utilities giving us confidence to reach our earnings goals in 2015. I can move on to provide more detail on Michigan's energy legislation, but before I do that, let me give you a quick update on Michigan's economy. The state economic indicators are looking very strong. We show some of the actual forecasts and metrics in the appendix but I'd like to highlight Michigan's unemployment rate for September which was 5%. This is actually lower than the national rate of 5.1%, and it's worth noting because it's the first time in Michigan the unemployment rate is below the national average in 15 years. So things continue to move in the right direction in our state. So now let me move on to the state energy policy reform on Slide 7. Slide 7 is a slide you've seen before showing Michigan's leaders who are helping to move the state's energy policy reform to its completion. We are definitely fortunate to have these individuals who really understand what good energy policy looks like. The governor identified the need for energy policy reform as one of his top priorities and he has not wavered from that all year. He has taken time to study and understand our industry and land on what a good policy moving forward would be. His good advisors were John Quackenbush and Valerie Brader. And with Senator Nofs and Representative Nesbitt, we have two very competent energy leaders in the Senate and the House. So we have a situation where all three entities, the administration, the House and the Senate, are clear that Michigan does need to develop new policy to control its future. There is definitely progress happening. It gives us confidence of a timely resolution to the energy policy reform. Both the Senate and the House energy committee have concluded extensive hearings on the legislative package. Nofs and Nesbitt are working with committee members who would vote in the committee possibly by next month. So I'd like to turn to some specifics on legislation that is under development in the House and the Senate with Page 8, starting with the retail open access. Leadership in both the House and the Senate realized that the current system is broken, so both are proposing reforms. Both proposals as they stand now would cap the current program at 10% but with stricter and more fair provisions. Actually the House until recently had planned to eliminate retail open access altogether, but as part of the alignment process has been now proposing to stay at the 10% cap. But importantly, both the House and the Senate would require one-time election to return to the utility, which means there will be no longer a free option to move back and forth between the marketplace and our regulated rates. To make the cost of capacity more fair and to issue a reliable generation service in the state, the Senate is proposing a three-year capacity commitment, the house is targeting a five-year capacity commitment for those customers who would like to stay on retail open access. Integrated resource planning or IRP is the second key element of legislation. The proposals enable pre-approvals, so once it's decided on what generation this should be, there will be a process for pre-approving investments and assuring that they are prudent, and similar to our current Certificate of Need process or CON process but on a portfolio basis. This new IRP process will fit nicely into the state's implementation plan for the clean power plan. Then finally the legislation is going to deal with a number of regulatory reforms. Both the House and the Senate are proposing a move from our current 12 month cycle on rate approvals with a six month sub-implementation, to a simple 10 month cycle. There is also work on establishing a fair net metering policy which I think is important as we head towards building more renewables. Revenue decoupling is also being proposed for electric utilities. We would like to have this option to enable recovery of the impacts of energy efficiency in between rate proceedings. So I think the state of Michigan is well-positioned to have energy legislation by year-end. That's important so that as a state we can move on in a constructive way to make the investments that we need to transform Michigan's energy infrastructure. So on Slide 9, this slide shows our EPS history and our target of 5% to 6% growth. As I mentioned before, we expect to grow our dividend with earnings, evidenced by our recent increase which was at the high end of our earnings growth target. The chart shows a revised 2015 guidance midpoint of $4.78 as well as the EPS guidance midpoint of $4.69 for our growth segments. The 5% to 6% future growth I mentioned is off our new 2016 early outlook midpoint of $4.93 per share. The $4.93 midpoint represents a 7% increase from the 2015 original guidance. So let me get into a little more detail on Page 10. Slide 10 shows our current 2015 EPS guidance and our 2016 EPS early outlook. I want to focus on our 2015 guidance. Our current EPS guidance range is $4.65 to $4.91 for total DTE Energy and $4.59 to $4.79 for our growth segments. You can see next to the guidance numbers arrows indicating where we think the year might play out for each segment. We have green arrows up next to all of our non-utility businesses. If these businesses have a repeat of the strong performance in the fourth quarter similar to what we've experienced in the first three quarters this year, then we are seeing earnings fall in the upper end of these ranges. For Gas Storage and Pipelines, we are seeing strong performance in both pipeline and gathering earnings. Our Power and Industrial Projects segment is seeing solid performance in our REF business. And we are seeing strong economic performance at our Energy Trading operations. Our Corporate and Other segment is trending towards the lower end of guidance driven by taxes. I mentioned the strong financial performance we have seen this year, so I'd like to turn the call over to Jeff Jewell to provide more details on the earnings results.
Jeff Jewell: Thanks, Peter, and good morning everyone. I'll be going over quarter-over-quarter earnings results on Page 12, and on Page 13 I will provide more detail into DTE Electric's quarter-over-quarter operating earnings variance. Now turning to Page 12, for the quarter DTE Energy's operating earnings were $252 million or $1.40 per share, and for reference, our reported earnings were $1.47 per share. You can find the reconciliation of the third quarter reported to operating earnings on Page 27. For the quarter, our growth segments operating earnings in 2015 were $75 million or $0.40 per share higher than 2014. The Electric segment was higher by $79 million. This favorability was due to warmer weather, self implemented rates and lower storm expenses in 2015. I'll provide more detail on Page 13. DTE Gas was higher by $5 million. This was primarily driven by reinvestment spend in 2014 and increased revenue associated with the infrastructure recovery mechanism surcharge. Gas Storage and Pipelines earnings were $7 million favorable to the prior year. This increase was primarily due to increased volumes on the Bluestone pipeline and increased investments in our gathering assets. Our Power and Industrial Projects segment was lower by $6 million versus 2014, due primarily to timing of major coke battery maintenance project expenses and a steel related installment sale contract that ended in the second quarter of 2015. Our Corporate and Other segment came in unfavorable by $10 million versus last year. This variance was mainly due to timing of federal and state tax accruals. These items were considered in our year-end guidance. Again, the overall growth segment results for the quarter were $253 million or $1.40 per share. Energy Trading posted a $1 million operating loss for the quarter and economic net income of $14 million. Both the power and gas business lines contributed to these results. Please refer to Page 25 of the appendix to review the Energy Trading standard reconciliation page which shows both economic and accounting performance. Overall, DTE Energy's operating earnings were $252 million or $1.40 per share for the quarter. Now let's turn to Page 13 to discuss our Electric performance. Electric segment earnings were $79 million higher quarter over quarter. The variance was driven by three major contributors, increased rates, return to near normal weather, and lower storm O&M. DTE Electric self implemented a rate increase on July 1 as part of its ongoing rate case. This was partially offset by increased rate base growth due to investment in the generation and distribution operations. The next major contributor was weather. If you recall, summer weather in 2014 was much cooler than normal while this summer was near-normal. This resulted in increased sales of approximately 700 gigawatt-hours when compared to the same period last year. Please refer to Page 24 of the appendix for sales variance detail. Finally, we experienced lower storm activity in the third quarter of 2015. This is a significant decrease when compared to 2014 where we saw multiple storms including the storm in September of 2014 that impacted more than 400,000 or 20% of our customers. In conclusion, for the quarter, DTE Electric's operating earnings were $79 million higher than 2014. That concludes the update for our earnings for the quarter. I'd like to now turn the discussion over to Mark who will cover cash flow and balance sheet metrics.
Mark Rolling: Thanks, Jeff, and good morning everyone. In addition to the solid earnings results, our cash flow and balance sheet are strong and continue to support our long-term growth plan. Slide 15 lays out our cash flow and CapEx through the third quarter. Cash from operations is $1.5 billion and we saw strong performance across all business units, putting us a little ahead of our plan for the year. We invested $1.7 billion of CapEx through the third quarter, and on the right side of the page you can see the breakout by business unit. DTE Electric is up due to higher operational investments and higher new generation spend with the acquisition of a gas [indiscernible] back in the first quarter, partially offset by the timing of some wind investments between years. And year to date, the non-utilities are on pace with last year. To fund this CapEx program and the refinance maturing debt, we issued $1 billion in long-term debt this year. Let me turn now to Slide 16 and the revised cash flow and CapEx guidance that Peter touched on. As I mentioned a moment ago, we are seeing strong cash flow this year and therefore we are increasing our cash from operations guidance by $100 million. We're also making a small change to our CapEx guidance, and on the right side of the page you can see the breakout of capital spending by business unit. We still expect to spend a little over $1.8 billion at DTE Electric and $280 million at DTE Gas, and we expect our non-utility businesses to invest $350 million for the year or about $100 million lower than the low point of the original guidance. Now this change captures the timing of some of the growth progress upon industrial and will have no effect on the growth plan that we provided at our Investor Day last month. This brings our total CapEx to nearly $2.5 billion for the year, which is up more than 15% over last year. And back on the left side of the page, we have reduced our debt financing needs to correspond with this $200 million increase in free cash flow. Now I'll move to Slide 17 with a look at our balance sheet metrics. Our balance sheet remained strong and we project ending the year within our targeted range for both leverage and FFO to debt. We issued $200 million of equity back in the first quarter and that fulfilled our equity needs for this year. At our investor event last month, we disclosed modest equity needs of $800 million from 2016 through 2018. Earlier this year we renewed our credit facility through 2020 and we ended the quarter with $1.8 billion of available liquidity. As we outlined at our Investor Day, we have a financial planning approach that will continue to rely on the strength of our balance sheet to fuel our long-term growth plans. And now I'll hand the discussion back over to Peter to wrap up.
Peter Oleksiak: Thanks Mark. Let me finish the presentation with a quick summary on Slide 19, and then we can open the line for questions. We had three solid quarters so far this year and we are confident that this year's performance will allow us to achieve our 2015 EPS guidance. We also anticipate constructive outcomes this year in both utility regulatory filings as well as the Michigan's energy policy reform. Our balance sheet and cash flow metrics remain strong and our investments in our utility and non-utility businesses support our target 5% to 6% EPS growth going forward. I thank you all for joining our call this morning and I hope to see many of you at the EEI conference in a couple of weeks. Gerry Anderson will be giving a formal presentation on November 10th that will be Webcasted on our Investor Relations Web-site. So we hope you all can join us. Now I'd like to open up for questions that you have, so Kyle, you can open up the line for questions.
Operator: [Operator Instructions] We'll take our first question from Michael Weinstein with UBS.
Julien DuMoulinSmith: It's actually Julien here. So quick first question, perhaps obvious, given the trailing 12 months, what are you thinking here in terms of the fourth quarter and implied results, it seems perhaps it could even be potentially down year-over-year, is there something about reinvestment, [indiscernible] et cetera, you might imagine?
Peter Oleksiak: I'd like to reiterate that we are kind of confident with the earnings guidance that we've put out there. The electric utility in particular last year was in a lean mode. That's really, if you're looking quarter over quarter, kind of a fourth to fourth, that's what you're seeing emptying there.
Julien DuMoulin Smith: Got it. So does that actually mean that there is added strength or more of a tailwind that you are reinvesting in fourth quarter into 2016, or perhaps as you just alluded, was in more of a 4Q 2014 phenomenon such that this is more of a normalized pace in 4Q 2015?
Peter Oleksiak: It's more the latter, the last year's fourth quarter phenomenon.
Julien DuMoulin Smith: Got it, excellent. And then perhaps secondly, just of late any developments on the gathering front with Southwestern?
Peter Oleksiak: Our gathering business is going very well, and as you know, our raising of guidance in that segment in particular was with the volumes associated with the gathering with the Southwestern Energy. So the well performance is great, the drilling program continues to be strong in that region and our gathering earnings are flowing nicely there.
Julien DuMoulin Smith: Great. All right, I'll leave it there. Thank you.
Operator: We'll take our next question from Daniel Eggers with Credit Suisse.
Dan Eggers: Just on the legislation in Michigan with the hearings done, do you guys have a read in when something can get formalized or resolved between the House and the Senate and vote where this finally gets cauterized, is there something that we can look forward or a schedule that you guys see right now?
Peter Oleksiak: It is not a firm schedule, but as I mentioned, the extensive hearing process is done, and as you know, you mentioned that as well. There's some finalization of language that will happen both in the committee and the House and then they'll move it, both the Senate and the House, and from there there'll be reconciliation. We are anticipating that will start happening as early as next month, early next month, but going more likely into the month of December.
Dan Eggers: So a conference next month between the House and the Senate and a vote in December seems realistic at this point?
Peter Oleksiak: Right, yes, that's a possibility.
Dan Eggers: Okay. And then I guess your second question, when you think about the – it looks like you're going to the idea that Choice has to get a firm capacity kind of somewhere between three and five years, is that something that you guys would look at providing or are you not going to be in the business of offering capacity to those customers?
Peter Oleksiak: No, we are not in the business of offering capacity to those customers. We'll offer to our customers.
Dan Eggers: Okay. What is the year to date weather benefit on that after the good third quarter?
Peter Oleksiak: Jeff, if you have that?
Jeff Jewell: Ask that one more time, just make sure we're answering what you're looking for.
Dan Eggers: How much year-to-date weather benefit have you guys gotten? You gave the quarter, I don't know if you have the year handy.
Jeff Jewell: So for the full year, if you go back to Page 24 in the pack, I think that's what you're asking, so I'll just guide you back there. So the first is – I'm on the left-hand side there in the middle, DTE Electric 2015, you can see what that was for the quarter and we talked about that. And for the year to date, you can see it's at $12 million.
Dan Eggers: Got it, thank you. I should've [looked it up] [ph] myself.
Jeff Jewell: [Indiscernible] was down negative $17 million for the year.
Dan Eggers: Okay. And my last question just on the pipeline tap-ins now that you're 1.4 Bcf of potential customers, when do those start converting either into contracts or something more substantial and what should we be tracking other than just kind of these quarterly updates?
Peter Oleksiak: That will happen over time as the pipe gets built. That 1.4 Bcf is non-binding but we do anticipate that a number of that will potentially turn into nice investments for us, lateral or gathering couple of opportunities. They are more likely – that will happen once we are done with the construction of the pipe.
Dan Eggers: Okay. Thank you, guys.
Operator: We'll take our next question from Matt Tucker with KeyBanc Capital Markets.
Matt Tucker: Just wanted to follow-up on the guidance and the full year guidance kind of implying that the fourth quarter would be down year-over-year, you already commented on some reinvestment at Electric. It looks like the non-utility segments, the guidance also implies earnings would be lower year-over-year. Could you talk about what might be driving that or should we kind of expect that the Electric reinvestment could offset some of the earnings there?
Peter Oleksiak: The electric utility, I mentioned I'm feeling comfortable with the guidance range we have out there. There was a phenomenon last year fourth quarter around lean. We're in a normal investment cycle this year in the fourth quarter. But our non-utility businesses are performing strong. On a year to date basis, there is strong performance, and if that strong performance continues in the fourth quarter, those businesses will more likely end up in the upper end of those ranges.
Matt Tucker: Great, thanks. And just hoping you could provide a little more color on the change in timing in the CapEx at Power and Industrial Projects.
Peter Oleksiak: Mark, you want to take that one?
Mark Rolling: Sure. So that as you mentioned is timing related. When we did our original guidance for the year and we provided a range this year on the non-utility businesses, recognizing that those businesses and the timing of the project show-up has some variability. As we are close to the year-end, we have better visibility as to what's going to occur here in late 2015 versus what may occur early in 2016. So it's a timing related item at Power and Industrial. Specifically, if you step back and look at our early outlook for 2016 and our growth plan that we provided at our Investor Day, this has no impact on any of that, it's really the timing item.
Matt Tucker: Got it. And is there any specific projects that you did highlight there?
Peter Oleksiak: I'll add just a little commentary to Mark's comments. Power and Industrial Projects in particular, we do have an acquisition strategy there where if opportunistic we'll acquire small on-site related projects, and they have the tendency to be kind of lumpy in terms of when they show up, and when they do show up – we had one back a few years ago with the Duke project on the on-site project. So there, I don't want to be too concerned. When they do show up, sometimes they show up and they are relatively sizable. We like to have a placeholder in with a capital for that business unit in particular. So it's really just timing related to these small acquisitions related to in the Power and Industrial segment.
Matt Tucker: Understood. Thanks guys.
Operator: [Operator Instructions] We'll take our next question from Jonathan Arnold from Deutsche Bank.
Jonathan Arnold: I just wanted to revisit just timing of the legislature. I know you'll lay that when you know the steps, you see it. Are there some deadlines that we need to hit in order for this to be all accomplished in calendar 2015, when do the session end and at what point would we need to see it out of conference, how much wiggle room is there I guess?
Peter Oleksiak: It is not a firm schedule. The augment deadline was before they moved to the holiday break and which would be the back half of December, but the momentum we are seeing right now with the hearings being concluded, they said there'll be some tweaking of the language in both the House and the Senate, and then at that point a reconciliation. The good thing is both the House and the Senate, essentially with Aric Nesbitt's move to move a bit closer to where Mike Nofs is at, I see that process hopefully happening relatively quick once it starts.
Jonathan Arnold: Okay. Thank you, Peter. That was it.
Operator: We'll take our next question from Shar Pourreza with Guggenheim Partners.
Shar Pourreza: Just one question on the decoupler, I know it's a little bit preliminary, but Peter, are you looking for a full decoupler which takes any kind of load out of your earnings mix or sort of more of a partial decoupler that accounts for energy efficiency in DSM?
Peter Oleksiak: We'll explore all the options. First is to kind of get that option for the electric utility to have a decoupler in legislation. That's being proposed right now. So we like that to give us that option of flexibility. As we are thinking about it, we really would want it fully focused on the energy efficiency, that's our early thinking at this moment.
Shar Pourreza: Got it. Okay, so you have some potential leverage to macro probably, okay. And then just on the pipe, 1.4 is non-binding, it's a little bit preliminary, but is there any indication that you could reach that to laterals and compressors from a demand side or it's too early?
Peter Oleksiak: The overall pipe we are putting in is 1.5 B, that's expandable to 2 B with compression. The major market when this pipe first was put in was Dawn, and Michigan is Michigan, goes from a coal plant to gas plant conversion. So it's really nice. Actually this Ohio market is actually showing up as well that wasn't originally anticipated. We kind of knew that when we placed this pipe, we deliberately placed it in the Northeast Ohio around these industrial centers. So we are hoping that this 1.4 B, a portion of that gets converted over to this industrial load, which then once we [indiscernible] to get a lateral in gathering, but we feel comfortable right now that we'll be able to expand the pipe to meet that. It will be a nice problem to have.
Shar Pourreza: Yes, exactly. Thanks Peter.
Operator: We have no further questions in queue at this time. I would now like to turn the call back over to management for any additional or closing remarks.
Peter Oleksiak: I'd like to just thank everybody for this morning joining us on the call, and once again we're going to be at EEI and hope to see many of you there. Have a great day.